David Mulholland: Good morning, ladies and gentlemen, and welcome to Nokia's Fourth Quarter 2022 Results Call and Group Progress Update. I'm David Mulholland, Head of Nokia Investor Relations. And today, with me in Espoo is Pekka Lundmark, our President and CEO; along with Marco Wiren, our CFO. Before we get started, a quick disclaimer. During this call, we will be making forward-looking statements regarding our future business and financial performance, and these statements are predictions that involve risks and uncertainties. Actual results may, therefore, differ materially from the results we currently expect. Factors that could cause such differences can be both external as well as internal operating factors, and we've identified such risks in the Risk Factors section of our annual report on Form 20-F, which is available on our Investor Relations website. Within today's presentation, references to growth rates will mostly be on a constant currency basis, and margins will be related to our comparable reporting. And our Q4 report and results presentation are both published on our website, and they include both reported and comparable results and a reconciliation between the two. The progress update portion of today should be considered as part of the regular series of progress update events we've been doing. The presentation for that will be available online after the presentation is finished. In terms of the agenda for today, Pekka and Marco will give a quick overview of our financial results for 2022 before moving into the progress update. We will be aiming for the call to last for around 90 minutes, but if the presentation runs slightly longer than planned, we will make sure to allow some time for Q&A. With that, let me hand over to Pekka.
Pekka Lundmark: Thank you, David, and hello, everyone, and thank you very much for joining us today. So as you have seen in the results, fourth quarter was a solid end to a year of acceleration. We pretty much delivered what we promised at the beginning of the year. For the full-year, we had €24.9 billion sales, which was 6% growth year-over-year, and great fourth quarter, which ended the year €7.4 billion, 11% growth year-over-year. And this is really important because we said in the beginning of the year that this would be a year of acceleration. We had declining revenue in 2020, 3% growth in 2021, and now we had 6% growth in 2022. In terms of profitability, first of all, full-year comparable gross margin, which is not here on the screen, increased by 100 basis points to 41.4%. The full-year operating margin was stable at 12.5%, which was a very strong result, considering the 150 basis points of one-offs that we benefited from in 2021, as we reported a year ago. Q4 was strong. Comparable operating margin was 15.5%, up from 14.2% year-on-year. This was partly due to Nokia Technologies, which I will turn to in a moment. So in summary, this chart here show the progress we made through the year. When we talk about the acceleration, here, you see for each quarter, our topline growth compared to the same quarter the year before, and you can certainly see acceleration here. Then down here, I hope this is readable, first of all, you have here four quarter rolling comparable gross margin for the whole group. And then this curve here is basically the same trend line without Nokia Technologies. And then here, you have the same graph for comparable operating margin. What I do want to note is that if you zoom into – I mean, technologies is, of course, one case that we will talk about, then there is group common where we have Nokia Ventures. If you take the product businesses, which are Mobile Networks, Network Infrastructure and CNS on a full-year basis, these three businesses expanded their comparable operating margin by 120 basis points, which is, of course, part of this very good development that you see here. In terms of cash, we had a net cash balance of €4.8 billion, which was slightly up year-on-year. Free cash flow for the full-year was €840 million. Conversion was negatively impacted by net working capital growth, which is due to the accelerating growth. This will continue to be an issue also this year. Marco will cover this part in more detail. Cash generation is, of course, of critical importance for us also going forward. So then let's quickly look into HBG, and I start from mobile – no, sorry, from Network Infrastructure. And what you see here is the four divisions of Network Infrastructure: IP Networks; Optical Networks; Fixed Networks; and Submarine Networks. And these colors here represent the growth in each quarter. So IP Networks at 11% and Optical Networks is 21% growth in Q4. Fixed Networks is 8% and Submarine Networks is 32%. Why is this important? Because so far, as you remember, the NI growth, which has been very good growth has been very much driven by Fixed Networks and Submarine Networks. But now, what was extremely pleasing to see, and this was partially behind the very good margin development in the business was that also IP Networks and Optical Networks who had that slightly lower growth in the year accelerated their growth. Overall, we had for NI significant margin expansion. Gross margin in Q4, this is cumulative gross margin for the last four quarters. But if you isolate Q4, we had 560 basis points expansion in NI gross margin and for the full-year 160 basis point expansion. Also on the operating margin side, which you see here, this is also four quarters rolling, there is a significant expansion. First of all, Q4 isolated margin was almost 16%, 15.9% to be precise, and the full-year was 12.2%, which is 200 basis points year-on-year. And remember, when the year started, we gave a margin target range of 9.5% to 12.5% Network Infrastructure. So we almost hit the upper end of that range at 12.2%. So great year for Network Infrastructure. Then moving on to Mobile Networks, what you have here is quarterly growth compared to the same quarter last year. Q4 last year, we had actually declining topline. Now we had – both in Q4 and also for the full-year, we had 3% growth, which means that the declining topline that Mobile Networks had been suffering from for some time has now been turning into growth, albeit still, at this stage, a fairly slow growth. Four quarter rolling gross margin, you can see here, an operating margin here, slight dip in Q4, but on full-year basis, we had 90% expansion in Mobile Networks operating margin to 8.8%. And also here, if you remember what we had guided in the beginning of the year, we said 6.5% to 9.5%. So we landed at 8.8%. So Q4 came in pretty much as we expected, lower margin year-over-year because of regional mix shift. Basically, North America was front-end loaded in 2022. India growth accelerated in Q4, and this mix shift impacted margins pretty much as we expected. And now when we look into 2023 in Mobile Networks, we expect greater seasonality in our operating margin in 2023, with a slightly softer start to the year. But for full-year 2023 Mobile Networks, we target operating margin to be largely stable year-over-year. The range we are now giving is 7% to 10%. CNS work is gradually paying off. We had a decent growth in Q4, 5%, 2% only over the full-year. But what is very important in this business is that since we've been working on the product portfolio and the product mix, the positive gross margin trend has continued. It continued in Q4. The reason why it's not yet turning to more than 5% to 6% operating profit is simply that we invest. We have added significant investments in areas like private wireless campus networks, both product side, R&D and go-to-market. And these are investments into the future. They are paying off in terms of faster topline growth, especially in campus wireless at the moment. And also when, as you can see, in good gross margin development. So the work to refocus investments and rebalance the portfolio is paying off. Full-year margin was 5.3%. And also here, you remember, we said in the beginning of the year that the year would be between 4% and 7%, and we landed at 5.3%. And then last, but definitely not least, Nokia Technologies, which had an interesting quarter in many ways, net sales was up 82% in Q4. The reason is that late in Q4, we received notice from a long-term licensee that wanted to exercise an option to extend their license indefinitely. This meant that all outstanding revenue for this license had to be recognized in the quarter, which amounted to €305 million, which we are highlighting here separately. Even excluding that, there was actually revenue growth between Q4 2021 and 2022. This recognition did not have cash impact on the business, but it meant as – again that operating profit was largely stable in 2022. Still maybe one final comment on technologies before I hand over to Marco. We remain in two litigation/renewal discussions. Several court rulings have validated our position in these litigations in Nokia Technologies, giving us confidence in our approach to prioritize the value of our portfolio over achieving specific time lines. And then finally, on a positive note, we renewed our patent license agreement with Samsung on a longer-term basis earlier this week announced. This underscores Nokia Technologies' strong patent portfolio and supports our ability to deliver stable operating profit in Nokia Technologies over the long-term. Now I will hand over to Marco.
Marco Wiren: Thank you, Pekka. Good morning from my side as well and I will briefly go through some financial performance bridges and cash flow and then also touch upon our targeted addressable market and outlook. So starting with growth, just like Pekka mentioned, we had a very good growth in quarter four, 11% in constant currencies. And if you look, you can see that most of the geographies actually had a very good positive growth. And North America, just like we expected because of the very front-end heavy load investments in our CSP customers, we expect that the quarter four will be a little bit muted and exactly what happened. Just a couple of words about a few regions. Starting with Europe, you can see a very good growth, but as we report the whole technologies here. So even excluding that, you can see that we had a 13% growth in Europe, and this is actually coming both from NI and MN had double-digit growth in Europe. When it comes to India, this is, of course, propelled by the heavy deployments of 5G. And here, we see a very heavy growth in Mobile Networks. But I must say that also Network Infrastructure had a very high double-digit growth rates in India. And in Asia Pacific, actually, all businesses had a good growth. Then looking to our comparable operating profit bridge from quarter four last year and seeing what has happened. And of course, you can see that Nokia Technologies had a very big impact in quarter four. But also I want to highlight the 560 basis points improvement that network infrastructure had in quarter four compared to same quarter in 2021. And Mobile Networks, of course, this regional shift, but also the fact that their OpEx increased slightly because of R&D mainly, you can see that it was slightly below a year before. And then in Group Common, I just want to mention that the venture fund is reported here, and they actually had a minus €90 million negative impact in operating profit in quarter four. And last year, we had a plus €60 million. And this €90 million, I would say that a big part of that is actually currency fluctuations because of the funds are reported in USD. And if looking at the full-year now, so Pekka mentioned the 150 basis points one-off that we had in 2021. So the starting point for 2022 was actually 11%. And here, you can see that both Mobile Networks and NI had a huge contribution in the development towards 2022 operating profit and margins. And we had some headwinds in FX and the reason is that we hedge our operating profit. So while in 2022, we saw increase in USD, and that boost our topline, but keeps the operating profit intact. So that's why there's a negative impact on our margin. And then turning into cash flow. And you can see here that we had some negatives in our cash flow development during the year. We will build up net working capital, and this has been the reason that, first of all, growth is tidying up more net working capital, but also inventories because the lead times in supply chains has been very long and we want to secure that we have the products that we need to deliver to our customers. So this is the reason I'm driving it is. In Nokia Technologies, just like Pekka mentioned, the €305 million was non-cash. So that's why actually the difference between operating profit and cash flow was €800 million in technologies. And the cash conversion ratio ended up at 27%, and this is in the low end of the guidance that we had between 25% to 55%. In total, the full-year cash flow was €841 million. And just like Pekka mentioned as well, the net cash ended up at €4.8 billion. And looking forward now in 2023, you can see the different parameters here and how they are impacting our cash flow, what do we expect that conversion ratio will be between 20% and 50%. And again, net working capital due to the big growth that we have and also the regions we were growing, is actually tidying up capital – in net working capital. The another issue is that we see that taxes are actually higher – cash taxes. And this is based on the legislative change in U.S. where you have to capitalize R&D costs. And this means that cash out in those early years are increasing. But looking beyond 2023, we believe that 2024 cash flow will be significantly stronger than 2023, and while we are working towards our longer-term targets between 55% to 85% conversion. And then a couple of words about the market estimates from our side. And we believe that in Network Infrastructure markets, and this is now excluding Submarine, that our growth will be about 4%. When it comes to Mobile Networks and this is now excluding China. So we believe that growth will be about 5%. And of course, this is also heavily impacted by the rapid growth in India. And then Cloud and Network Services, you can see a 4% growth expectations on that market. And before turning back to Pekka, about the progress update, I just want to give you some color on our guidance. Net sales between €24.9 billion to €26.5 billion. And this means that we expect the growth to be between 2% to 8% in constant currencies. And of course, the range is a little bit wider than normally and there's some macroeconomic uncertainties as well, and this is the reason for the wider range here. When it comes to operating margin, we guide between 11.5% to 14%, and free cash flow, I already mentioned, between 20% to 50% conversion ratio. And here, as I mentioned, we believe that the accelerated growth that we have and the regions where we grow, are tidying up more net working capital. So this is the reason. So I hand back over to Pekka for progress update. Thank you.
Pekka Lundmark: All right. Thanks, Marco. As you saw, we went through the Q4 result pretty quickly this time because we want to leave time for the main part of this call, which is really to give you an update on where we are in our different businesses, what are the key strategic drivers that are going to be guiding and informing their growth and development over the coming years. I will briefly summarize the progress we have made since our 2021 CMD, talk about our purpose a little bit, how it combines with our technology and the ESG strategy. And then, of course, I will, after that, zoom into the technology strategies and business strategies of each of our business. And finally, I will then go through some of the aspirations, including financial aspirations we have across each of the businesses. And then after that, Marco will update you on the progress we have made with implementing our operational model, our capital allocation policy and give you some pointers and things to consider in modeling Nokia for the long-term. So let's first take a look at our longer-term financials history. As this slide shows, the key trends have all improved. So first of all, three years ago, back here, this is our annual sales growth between 2017 and 2022. Here, we have several years of either negative or extremely low growth, then 2021 3% growth and 2022 6% growth. So that's really a great achievement. And it again just shows that our goal to accelerate sales growth has been successful. So when we move to the margin side, you can also see that we have been able to turn the gross margin development to the positive actually from the bottom here in 2019, we now have 500 basis points improvement in our gross margin. And then, of course, the same thing can be seen here on the both operating profit and operating margin. Back here in 2019, 2020, we were a company of around €2 billion comparable operating profit. Now last year, 2022, we actually already exceeded €3 billion, around €3.1 billion, and the margin development also good. If you exclude the 150 basis points of one-offs, which we reported in 2021, the margin would have been 11%, which would have meant that this development would have been extremely steady. So overall, when you look at the main kind of group numbers. I don't have EPS here, but it has also developed very positively. We can be pleased with the development. This gives us a good foundation also now in the future to grow faster than the market and achieve an operating margin of at least 14% as our long-term target is. As you remember, at our Capital Market Day in March 2021, we introduced a three-phase plan to transform Nokia, reset, accelerate and scale. We did declare a year ago that the reset phase, and I will not go through all these details, you will have all this information on the deck that we published on our website. The point is that we declared that in – after 2021, we had completed the reset phase. Now we are very much focusing on acceleration. And as you have seen, we have been pretty successful. We have grown our market share. We have accelerated our enterprise sales. We have improved both not only topline, but operating margin as well. We have continued to work on many fronts and technology in digitalizing our own operations and overall creating new growth opportunities. So the accelerate phase has been going pretty well. It's not over yet. Acceleration will continue towards then the final goal, final phase, which we call scale. And there, the goal is that once we reach there, we want to be an undisputed technology leader in all those segments where we operate. We will have higher market share with the service providers. We want to become market leader in targeted, not all, but in targeted enterprise opportunities. Obviously, we want to have higher operating margins. This is the foundational phase where we will get to that at least 14% operating margin. We will have meaningful partner-driven revenue streams, not only direct sales through operators or enterprises, meaningful, strong partner network, helping us to grow. And very importantly, we will have implemented new business models such as a service, annual recurring revenue base for software that we deliver as a service. So some of these would be, in a way, definitions of what we will have wanted to achieve once we get to the scale phase. I mentioned already Enterprise, and this is really important because again, one of our key strategic objectives is to diversify our customer base so that we would not only be relying on service providers. And these efforts are paying off. Here, you can see the development of our Enterprise sales between 2017 and 2022, excellent growth, we were around €2 billion last year, 21% growth from 2021 to 2022 and a really, really good 49% growth in Q4. So now after this growth, Enterprise represents about 8% of our sales. And our goal is very clear. We want this trend to continue. We want Enterprise to grow double-digit going forward, and we wanted to reach 10% of our sales as quickly as possible. Those numbers are important, but perhaps strategically even more important is this slide here – Is this graph here where you can see the development of our active partner network. The green color here represents partners for campus networks, and then the blue graph represents the number of partners that we have for wide area Enterprise networks. For example, a wide area utility network, so wide area authority networks. So this is looking pretty good at the moment. If I park that Enterprise question, I move then to the next theme, and that is our purpose. We launched in 2021 our new purpose. At Nokia, we create technology that helps the world act together. We achieved our purpose by ensuring close alignment and collaboration between our ESG strategy, our technology strategy and technology vision, along with our core product development within the business groups. This way, we believe that we can make ESG a competitive advantage for Nokia. This is one of our key strategic objectives to make ESG a competitive advantage for Nokia. Then I move to the next theme, which is our technology strategy. And this is not business group specific. This is across the board. This is the foundation of Nokia Group Technology Strategy. And you can see a very high-level summary on this slide here. First of all, if we look at the foundational technologies that you have here, I start from sustainability, which I already mentioned. I will talk about that shortly. It is an absolute cornerstone in the strategy. Then there is semiconductor technology, where we continue to develop SoC, System-on-Chip across our portfolio and cross leverage our expertise, a fundamental part of the competitiveness of the system, performance of the system, energy efficiency of the system comes actually from silicon. And we want to maintain a significant own development position there. We do not only want to rely on Merck and Silicon. We want to have own IP in the silicon development as well because it is driving a significant part of the competitiveness. Then security is really foundational to critical networks. Our target is to deliver highly secure systems with multiple levels of defense, which, in some cases, even go all the way to the chipset level. Our new routing platform is one example of this, where actually defenses against distributed denial of service attacks has been implemented all the way to the chipset level. So these down here are in a way the foundational technologies. So then if we move up here and look at transformational technologies for the future, first of all, no surprise, artificial intelligence and specifically then machine learning, it's really going everywhere. And it is going to transform in a fundamental way, many, many parts of the network and including our deliveries. We are already applying it in many places. We have launched AI-based product and services like Nokia AVA, which is a service for energy efficiency in the network. It goes into the radio interface. It goes into various customer service platforms, network performance management. It's going to be persuasive, and it's going to be everywhere. Software. Again, absolutely no surprise. Cloud is a wonderful technology. And what cloud really does is that it simplifies applications. The whole application architecture and the way how applications can be deployed on top of the network platform gets a significant simplification through cloud. At the same time, it introduces more complexity into networks. So we are handling that complexity with sophisticated software. And then the ultimate target of all this is consumability. Traditionally, Nokia has made networks by experts for experts. But to target a larger market, including the enterprise and industry vertical developer ecosystem, we need to make networks by experts, but networks that can be easily consumed through APIs for everyone. So these are our transformational technologies in a very, very quick summary. Then I already promised that I would zoom a little bit deeper into ESG. We launched a new ESG strategy recently, which is aligned with the topics that are important to Nokia and our stakeholders. And this strategy is built around five focus areas. Number one, environment, where we aim to be the leader in energy efficiency and circular practices. We target 100% renewable electricity in all our facilities by 2025 and look to have net zero emissions in our entire value chain by 2050, which is not a piece of cake, by the way because most of our emissions are in Scope 3, i.e., when customers are using our products. Number two, here is industrial digitalization, where we provide connectivity and digital solutions that sustainably transform physical industries. Number three, security and privacy, where we are working to ensure a common security baseline for products and services and accelerating our security offering. These are the cornerstones of our reputation and product proposition. Then number four, bridging digital divide. As you can see here, we are a bridge for digital inclusion through our connectivity and digital skill building solutions for many, many developing countries in the world. And number five, very important, responsible business, take proactive and values-driven role in driving responsible business practices internally and in our value chain. With this, we believe that ESG is a driver of value creation. We believe ESG can be a competitive advantage and drive new revenue streams for us. There truly is no green without digital. Then if I move to R&D. When we bring our technology and ESG strategies together in our product road maps and R&D, you may recall that when I gave some of my first presentations in the fall of 2020, after I had joined Nokia, I said that we would invest whatever it takes to regain leadership in 5G. Over the last two years, we have increased investment across various areas of the portfolio, not only in 5G, by the way, but also in some other parts of the road maps. And as a result, I believe that we have put ourselves on a much better footing. Here, you can see our R&D investment. It was €4.4 billion last year. The interesting thing is that even though we have significantly increased R&D from 2020 into 2022, the R&D intensity, when you look at the kind of long-term development here, it has not grown. It is around 18%. And of course, here, it's very important to get the topline growth like we had 6% last year, because that makes it possible for you to continue to invest R&D and perhaps even increase it without increasing the R&D intensity. We have a lot of achievements which I will not go through this, material is in your deck. You can see that we have pulled out just a small number of innovation first on this slide product launches, technology advances that we have accomplished across each of the different businesses. But again, I will not go into more details on this one now, please study the material on the deck that we have provided. So now we have covered how we operate. So let's turn to our long-term targets. Today, we reiterated the targets we introduced last year. We target to grow faster than our addressable market, deliver a comparable operating margin of at least 14% and deliver free cash flow conversion of 55% to 85% of our comparable operating profit. Those were, however, only group level targets. So next, I want to give you some visibility on the bottom-up opportunities that we see across the business. And I start from Network Infrastructure. And I do want to show you this first before I go into the different segments of Network Infrastructure. First of all, here, you see topline development of NI, how strong it has been. We have become a €9 billion business from 2020 where we were still below €7 billion. And equally, if not even more importantly, there is a significant expansion in gross margin and consequently, then obviously, gross profit. And perhaps the most impressive one is this one here. Comparable operating profit in Network Infrastructure was €457 million in 2020, €457 million here. And here in 2022, it was €1.1 billion. If you remember what we said, it's up there on the slide, what we said in the Capital Market Day in 2021, we said then that our target for 2023 would be 9% to 12% margin. Now we achieved already last year 12.2%. And now we have a new target for 2023, which is 11% to 14%. So excellent development here. The Network Infrastructure business consists of four segments or business divisions, as we call them. First is IP Networks, which accounts for 34% of the business with high teens operating margin, high teens operating margin. Second is Fixed Networks, which is 32% of sales and which has been a really exciting year in recent years and now generates after a very good development, it generates mid-teens operating margins. Third is Optical Networks, which is 21% of sales with a low single-digit operating margin. And finally, Submarine Networks, which is 13% of sales in NI, which has also grown substantially in recent years and is now low single-digit operating margin. It used to be loss making by the way. Now we've been able to turn it to profitability. And I'll talk about the future targets in a moment. So this is the structure of Network Infrastructure. In terms of the trends worth calling out. You see some of them on this slide. Trends that are influencing the business, there's a number of new applications and changes in work patterns that will require higher capacity and higher speed networks, meaning simply that operators need to continue to invest, and we need to continue to innovate. Things like changes in working patterns, the importance of home connectivity is driving the need for fiber deployment, growth in 5G infrastructure base station backhauling how industries are digitizing and how companies are increasingly reliant on public cloud. All this is driving the need for the basic connectivity that NI is providing. So having given you a little flavor of the broader trends. I now want to touch on our right-to-win in each area of NI and opportunities we see. And I start from IP Network. Technology leadership is key to the competitiveness of IP, and we have always focused on quality. We rely on three foundational elements to sustain our position. And the first one is silicon and systems. With both in-house developed industry-leading FP4 and FP5 routing silicon along with the off-the-shelf solutions, we have a broad portfolio to meet our customers' requirements. Second is through software excellence where our quality focus and proven predictability gives our customers' confidence. And third, through automation, where we simplify network operations using insights from network analytics. The IP Networks business is a space we entered as a start-up around 20 years ago, but that focus on product quality and delivering what we promised, mean this business has grown to become a market leader, a market leader in service provider edge routing, which has been our main segment. When you look at this market share graph, you may notice the slight dip. This is market share development until Q3 last year. But when you keep in mind what we just published about Q4, we expect that this actually is going to be trending upwards than once we see the Q4 numbers. So promising development here, both in terms of market share and also profitability. When we look to the future for our IP Networks business, the focus is really on growth. We see our addressable market growing 3% CAGR through to 2025. With our recently launched FP5 IP routing products, which are now ramping, we believe we have scope to continue expanding our share in service provider edge routing and very importantly, gradually also expanding into core routing. We also expect to maintain the good momentum we have in our target enterprise verticals, which we see growing double-digit. And finally, we want to take a meaningful market share in the web scale and data center market, which we are just starting to penetrate with our wins at the likes of Microsoft this year or in 2022. We see meaningful opportunities for our IP Networks business to grow faster than the market and still maintain the high teens operating margin we have been generating. Then over to the next part of NI, which is Fixed Networks, which is primarily being driven by ongoing fiber deployments. And when you look at fiber deployment, there's a couple of things to note. First of all, is the current penetration. Here you can see in the different regions, Middle East and Africa, North America, Latin America, Europe and Asia Pacific, the green color representing the percentage or the share of homes connected as a proportion of the number of total homes. And then the light blue color represents homes passed. There is only one conclusion to make, there is still a lot, a lot market to cover, which is still untouched. But this is not the only one that is driving this business. The other aspect is that in addition to the growing penetration, even within the existing penetration, there is a lot of need to drive for faster speeds. And technology development is really an element here. And this is really our sweet spot in this whole thing. Today, most deployments are still GPON or XGS-PON, which is now the fastest-growing segment, which is 10 gigabits symmetrical, but we offer a very strong upgrade road map for customers all the way through our recently launched Lightspan MF-14 platform, which you can see there on the slide being the first platform that supports 10G, 25G and 50G and even 100G. We have demonstrated 100 gigabits per second already for some customers. And we believe that we have an 18-month lead over the competition here. So in Fixed Networks, it's two things going forward. It's the penetration, which is still low. It will continue to grow. But within any penetration, there will be the continuous need to upgrade capacity. A significant part of those existing customers that are running broadband at home are still running on fairly low speeds, and they will get to be upgraded in the coming years. This is a segment where we have probably the highest market share of all our segments in the whole of Nokia. 42% market share in optical line terminals, which is the central office side of the fiber connection, 42%. Just asked not to forget, now I've been talking about fiber and passive Optical Networks. Our Fixed Network business also covers copper solutions, which still are on the market. There is demand in some parts of the world for copper as well and very importantly, fixed wireless access, which I will not discuss more at this call. If we look to the future, again, our Fixed Networks business is really focused on growth as it already generates good profitability with a mid-teens operating margin. When we look into the future, we see addressable market growing 4%. With this strong technology leadership, we believe that we have scope for further market share gains. So without repeating what I just said about the development trends, I will now move to the next segment of NI, once again, as you can see on this slide, our goal in Fixed Networks is to sustain mid-teens operating margin. And of course, we expect the growth to continue. And then to the next segment, which is, of course, Optical Networks. In this business, our aim is to help our customers scale, but do so easily. So we have focused on developing our portfolio of products to ensure we have a range of solutions that really hit the performance and capacity levels needed in different applications. We have a broad family of solutions from large long-haul and subsea networks through to more compact metro or access solutions, even pluggable solutions as we see some level of IP optical conversions in some shorter distance connections. This is something we are very well placed to manage with our strength in both IP and Optical. If we look at our market share in Optical, we currently hold around 15% market share, excluding China, but this is a highly fragmented market. We are actually the number three player excluding China in the world and number two in Europe. And then if you look to the future and the opportunity ahead, we currently forecast the addressable market growing at 2% CAGR. And with the investments we have made into our technology in recent years with PSC-5 and the momentum we are seeing with customers, we believe we are putting ourselves on a strong path to now improve our scale and also gain market share going forward. As we gain share and improve our scale, that would really help to improve our operating margins going forward. In a way, I would say that the Optical is a story similar to the one we achieved in our Mobile Networks business. We have already been making the R&D investment in recent years, so we believe those benefits will come soon. Our operating margin in this business was low single-digit in 2022, but we aspire to expand that to double-digit over time. And then the final segment of NI, I will touch on our Submarine Networks business, where we deploy subsea communication cables. These cables are critical to the functioning of the Internet and about 99% of the Internet traffic touches a subsea cable at some point in its journey. The dynamics of the market have changed in recent years with a significant increase in involvement from hyperscalers who are now building their own subsea networks. This has led to a meaningful increase in the backlog we are executing against in the business. And it's also an area where we have strong leadership. We are the market leader with significant experience and delivery and project implementation capacity. Going forward, we see the market growing with a single-digit CAGR through 2025, and we aim to grow in line with the market. We also aim to improve the operating margins in the business from low single-digit to high single-digit as we have improved our execution in the business, but there are obviously some fairly long-term contracts, which always need to be kept in mind. Then I will move – now I have covered the Network Infrastructure in the four businesses. So now I move over to Mobile Networks where we can say that we are now back on track from a technology perspective. Again, the same structure on the slide, as you saw for Network Infrastructure, we have restarted growth, which is very important, we had 3% growth both in Q4 and full-year, encouraging development on the gross margin side, and the same can be also said about comparable operating margin, which was, as I said earlier, 8.8% in – not in Q4, but in full-year 2022, it was up 90 basis points. The aspirations that we have for Mobile Networks should not come as a surprise, as we've been talking quite openly about them for some time. We look to grow faster than the market and to expand Mobile Networks operating margin into double digits from the current 8.8% level. We are well on our way, but there is plenty more work to be done. Also here, if we compare to what we said at the Capital Market Day in 2021, similar to Network Infrastructure. At CMD 2021, we set a target – 2023 target to be at 5% to 8% comparable operating margin. Now the assumption we have for this year is 7% to 10%, so 200 basis points higher. Looking briefly at how we see the Mobile Networks addressable market over the coming years, we see the market growing at a 1% CAGR through 2025. Actually, quite strong growth in 2023, but then a slight, slight decline in 2024 and 2025. We continue to believe that we will see an extended peak in 5G. This is our estimation on the 5G market size all the way to – until 2030. We continue to believe that, as I said, an extended peak in 5G market because, number one, there is still plenty of coverage and gradually more and more capacity to be built out around the world. And then on top of that, if that's for operators, then we have the private wireless growth, which is starting to be meaningful and that is helping to keep the whole market elevated. So putting all these together, and you can see that 6G is expected to start to grow in around 2028, 2029 when the 5G starts to decline. Summing up all this together, you can see what we have been talking about earlier that we expect more or less a plateau on the market for the coming years, not a significant dip in any way. And then when 6G starts around 2028, then there is actually the potential that the market would start growing from the levels where it is today. So that's our market estimate. And just one additional point on this one. When we look at our 4G to 5G conversion rate, this is a KPI that we have been reported early – we have reported earlier. I just now want to highlight that now with the recent wins and market share gains that we have in regions like India, right now, actually, the latest conversion rate, 4G, 5G conversion rate is 110%. So this is an evidence of our success in when we have said that our goal is to start taking back some of the market shares that we did lose in early stages of 5G. That is clearly happening now. So I would say that Mobile Networks has clearly turned the corner in the last year, and market share data is starting to confirm this as well. You can see here that as of Q3 2022, which is this one here, both the quarterly and the rolling four quarter trends are moving in the right direction for 4G, 5G share, excluding China. The trend line here is rolling four quarters, we were at 24% at the end of Q3, but as you can see, the isolated Q3 was actually much higher, somewhere around 28%, 27% or something like that. So it is trending to the right direction at the moment. The advances Mobile Networks has made from a technology perspective gives us confidence in our ability to expand margins over the long term to the double-digit range, which is our target. This will be done through increased scale. For example, through market share wins in India and continued growth in private wireless. Through product competitiveness, we will again have new products coming out in 2023. And as the cycle matures, there are opportunities for margins to improve as more capacity is added to the network, all while we continue to maintain an efficient cost base and improving R&D productivity. Moving then on to the next business, which is Cloud and Network Services, where we have been working to rebalance the portfolio to best position for the future. And you can see some proof of their efforts in the first two parts of this slide. We did have net sales growth in 2022. And very importantly, this gross margin trend that we've been talking about when we've been working on the portfolio and restructuring the portfolio, the gross margin trend has been promising. The reason why the gross margin is not yet turning to higher than 5% to 6% or something like this, operating margin is really the investments that we are making. Investments in private wireless, investments in many of the targeted growth segments in Campus Networks and in other parts of the portfolio. So this is why CNS is still a bit below where – compared to where it originally intended to be in 2023. At the Capital Markets Day, we set the target for CNS to be between 8% and 11%. Now we forecast 5.5% to 8.5%. So while NI and MN are clearly ahead of our thinking back at the Capital Market Day, CNS is slightly behind that. But again, Part of that is because of our own decision to accelerate spending and investment in Edge Networks and Campus Wireless. You can see that we have clear aspirations going forward to grow faster than the market and to expand to double-digit margins in the future. CNS continues to focus on the six areas of growth that I have talked about in the past, building technology leadership in each area. Underpinning the growth areas is the SaaS, software-as-a-service business model, which improves the consumability and consistent delivery of use cases, such as security-as-a-service or very importantly, our recently launched core network-as-a-service offering. CNS will focus on key SaaS use cases to support the growth areas in 2023 and beyond. We are creating a new value with the network monetization platform, which you can see up here. We previously called this network as code, and by expanding our Campus Private Wireless leadership into the broader Enterprise Campus Edge, which is a new business unit that we have started inside CNS opportunity, especially in mission-critical industries. CNS has also codified its autonomous operations strategy and will strengthen our position in operations, analytics and security, both for CSPs and Enterprise. And finally, the CNS strategy and portfolio allows it to engage the broader digital ecosystem with new services capabilities and tools. This includes expanded engagement with CSPs, hyperscalers and enterprises and new engagement with developers, especially in the area of network monetization. As we look into a bit longer term at the potential for CNS, we see a few key areas to disrupt and create new value. The Campus Edge Networks has code monetization and the transition to Software-as-a-Service business model. SaaS, for example, which is measured by annual recurring revenue, or ARR, we believe could represent, as you can see here, more than half of CNS net sales by the end of the decade. We have already introduced 10 services through this model and are starting to build up our ARR, annual recurring revenue base, and we will continue to scale this up in the coming years. And then the fourth business, Nokia Technologies which has a proven track record when it comes to patent creation and licensing. We were, first of all, delighted to announce the renewal of our Samsung license earlier this week as well as Huawei back in December. We are also focusing on expanding our licensing coverage and have had success recently in the consumer electronics and automotive spaces. We will continue to invest in our patent portfolio and standards delivering tech innovation to existing and emerging customers. In terms of our aspiration, we target largely stable operating profit in the business, and it should be noted that now despite having no contribution from a long-term license we discussed in Q4 that will no longer contribute revenue going forward. So of course, there can be some volatility year-to-year depending on progress on deals. But as Jenni stated back in September in her update, we are in the midst of a smartphone renewal cycle. And we will focus on continuing to renew those and also signing new agreements in our growth areas of automotive, consumer electronics, IoT and multimedia. It's also good to note that some of the recent deals we've been signing are of a longer-term nature, which should give confidence in the longevity of our Nokia Technologies business. On this chart here, just as a summary, you see some of the deals that we have made. And this line here, which starts from here in 2005 and ends here at where we are today, this represents the net sales growth of Nokia Technologies up to the level of around €1.6 billion, where we were last year. Finally from me, and don't even try to read this slide. You have this in your package. This is, in a way, a summary of the key messages per business, including the financial aspiration. I hope this gives you confidence in our ability to grow and particularly to grow faster than the market along with expanding our margins to at least 14%. So with that, I will now hand over to Marco to cover some financial topics.
Marco Wiren: Thank you. Hi, again. I will give a short update on the operational model and then also capital allocation policy and then finally give you insight into long-term modeling assumptions that we have. So starting with some key enablers that I believe were extremely important when we started the transformation of the company and securing how we can perform financially going forward. And the main thing that I want to highlight there is the new operational model. And this was quite a big difference in Nokia actually, we had a quite complex matrix organization, and we wanted to change that and make it more simple, so it's easy to work with us from our customer side. And that's why we created these four individual fully accountable businesses, as you can see here as well, and each of them have very clear responsibility for their own success. And this means accountability for strategy, growth, profitability and portfolio. And portfolio, of course, they have to continuously assess, what is the best offerings, where do we have the leadership position, where we aim to be the leader and take actions based on that. Then also, I must say that I'm extremely proud of my colleagues how fast Nokia adopted this new model. We did it basically in six months. And many companies, it takes actually a couple of years to do this. Another area that I want to highlight is as well that we were very clear on that we want to be a technology leader. And I remember when Pekka said this, it wasn't only towards our customers. It was all important internally that we do whatever it takes to secure technology leadership, and this was in Mobile Networks side, but this is valid for the whole company. And that's why we started to move our spending from SG&A to R&D to be able to fund this technology leadership aspiration, and at the same time, we secured also that we have very lean corporate center. So the responsibilities should be in the businesses. Then also when it comes to value creation. I talked about this already in the Capital Markets Day that we had and the approach remains the same. So we are extremely focused on driving a strong fundamental business performance and this is done by empowering our businesses and securing the technology leadership. As you can hear, technology leadership is extremely vital for Nokia. And also when it comes to our internal capital allocation principles, these are based on where can we create the best value for our shareholders. And we believe that with technology leadership, you can get a better market share, market position but also higher margins. And that's why it's so important that when we do internal resource and capital allocation decisions, these are always based on where we believe that we create value. And that's why it's so important that we do the continuous portfolio assessment, ensuring that we invest in the right areas continuously. So this is no one-off exercise, this is something we have to do continuously and always prepared to take the right actions to secure that we will get to the value creation. And then all of this, we are monitoring and following up with the rigorous performance management system with very clear actions as well. And I'm very pleased that we have started to deliver also improving returns. And another key point we have had always that we have to have a higher return on capital – on invested capital than our weighted average cost of capital. And which we also you can see here on the chart that we have been delivering the past couple of years. Another area which is important, especially for our customers to secure that when they make deals with us, it's not now, it is a longer term. They want to see us to be their – as a partner in a very long-term, and they want to secure that we can really invest in technology, to be the leader, to pushing the edges going forward as well. And that's why we have ambition to have a good net cash position. And you can see here as well, the green bars in the diagram that we have had very good net cash position the past years and continue to have that. And this is very important that they understand that we can continue to invest in R&D to be the technology leader in the future. Then a couple of words about our capital allocation policy. And of course, the first priority that we have is that we will invest in R&D, again, to be the technology leader. And this could be done both inorganically and organically. So we're looking to always whatever is suitable for us. And the second priority in capital allocation policy is securing and providing capital returns to our shareholders. And if you look at our dividend policy, it's the same as we introduced in the beginning of 2021. So our ambition is deliver recurring and stable and over time growing dividends, of course, always considering what is the financial position of the company. And I'm pleased also to see that Board of Directors proposed now an increase of our dividend to €0.12 per share from the €0.08 that we had a year before. And of course, this is reflecting the progress that we have made. But going forward, increases would likely to be more measured and considering the progress and also the dividend policy. And – then we continue also with the second tranche of our €600 million share buyback that we started in early 2021. And then a couple of words about our long-term assumptions. First of all, in Technologies, we have said that we expect largely stable operating profit development. And when it comes to Group Common and others, and here also, we have, in addition to venture of funds, we also have the RFS business studies in our company. So we expect to have about a minus €300 million, €350 million. Of course, this could vary based on, as you've seen, especially the venture funds can go up and down. So there might be some variation year-by-year. Then when it comes to financial income and expenses, we expect them to be between zero to minus 100. And here as well, it is important to understand that interest rate fluctuations and FX has impact here on that figure. Tax rate, we expect to be around 25%. And when it comes to cash taxes, we assume now that there would be around €700 million outflow. And of course, this is influenced by the regional mix, but also the uncertainty in the international tax legislations that will come. And finally, when it comes to CapEx, we believe that €600 million is about the approximation that we have here. And there might be some small volatility year-by-year. So now with that, I would like to go back to Pekka for a brief summary.
Pekka Lundmark: Yes. Thank you, Marco. Now I will be very brief because I want to leave time for your questions. Only one message, this is a quick summary slide on the cornerstone. So six pillars of our strategy to deliver our targets. Number one, grow CSP business faster than the market. There's a lot of opportunities to take market share with the help of technology leadership that we now have. In many cases, the geopolitical development in the world is actually helping to us achieve that. Number two, expand the share of Enterprise to double-digit. Number three, take leadership position in every area where we compete, technology-driven target. Number four, secure business longevity in Nokia Technologies. Number five, build new business models such as software-as-a-service, network monetization platforms; and number six, develop ESG into a competitive advantage. So with that, I think we are ready for Q&A.
David Mulholland: Thank you, Pekka thank you, Marco, as well for the presentations. Before we move into the Q&A session, I just wanted to give you a quick overview of some of our plans through 2023. We do hope to see as many of you as possible at Mobile Congress at the end of February. We will have an event on the Sunday. We hope you can join us. And then we will resume our progress update series with our business groups in the second quarter most likely in May with Network Infrastructure. So stay tuned, and you'll get the invite too about that as soon as possible. With that, let's start the Q&A. As a courtesy to others in the queue, if you could please limit yourself to one question, and with that, Alice, could you please give the instructions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] I will now hand the call back to Mr. David Mulholland.
David Mulholland: Thank you, Alice. We'll take our first question from Alex Duval from Goldman Sachs. Alex, please go ahead.
Alexander Duval: Yes. Thank you very much for the very illuminating presentation and congrats on the results. Quick question on the sustainability of your Infrastructure business. Can you help us understand how sustainable the impressive growth is that you've been showing? You gave some great color in your presentation on investments and focus areas for improving products and you also talked about some penetration opportunities in areas like fiber. But historically, this has been a relatively cyclical part of the business. So what do you think are the most important factors giving you confidence that the recent strong performance is not just about leapfrogging competition temporarily, especially given the challenging macro backdrop? Many thanks.
Pekka Lundmark: Yes, thanks. Well, first of all, I do not believe that the market share gains that we have had are in any way, temporary. On the contrary, as I explained in the deep dive, I do believe that there is potential to take more market share going forward. So that's one. I think then the question is that how will the overall market develop. You're absolutely right that fixed taxes, especially in the history has been to some extent, cyclical. It is prudent to expect that, that growth rates would normalize in that business. But again, when you look at the facts and the development that was started by the pandemic, which is clearly increasing and continuing to increase the need for connectivity, permanent shift in working habits where people will not commute every day to their work. There is a lot of kind of underlying demand. This is one comment on the fixed access. And then if I talk about the other two segments, Optical and IP. What we have seen in the past is that actually first come an access wave investment. And now we have seen both fixed access and mobile 5G access investment. Then when there is more penetration, more users who start to add data traffic to the network, then the next wave is then going to happen in the IP and optical layer, which is more in the core part of the network to be able to deal with all the traffic that these new access networks generate. So this is something that could very well be driving the IP and Optical markets going forward. So I mean, it's impossible to give you a scientifically correct 100% answer, but we have reasons to be optimistic about the market development despite the fact that, of course, we recognize the overall macroeconomic uncertainties in the world.
David Mulholland: Thank you, Alex. We'll take our next question from Aleks Peterc from Societe General. Aleks, please go ahead.
Aleksander Peterc: Hey, good morning and thank you for taking my question. Congratulations to the strong results across the board. I just like to understand in Mobile Networks, how the year will shape out. There's obviously some margin pressure from the geographical mix changes here. So presumably, you will see a better second half than the first half. If you could comment on that a little bit. And then just today briefly, if you could also tell us if in 2024, 2025, you think you can still marginally grow revenue in mobile networks despite what you see being a market contraction in those two years? Thank you.
Pekka Lundmark: Well, first of all, the market contraction that we had on that slide if you take into account the overall 2022, 2025 market expectation, which is 5%, it is actually quite small. So then it comes all the way back to the market share question. We do believe that Mobile Networks can grow this year, we believe that it will actually be our fastest-growing business group this year. But it's too early to give any guidance on topline for 2024, 2025 other than we have a general ambition to continue to grow. Then the margin pressure, it is likely that when we look into 2023, that we will, in Mobile Networks, go back to earlier type of seasonality where the first half of the year is weaker and then the second half of the year is stronger. So we are, of course, expecting the full-year to be largely stable, weaker first half, stronger second half. Remember that we did say after Q3 last year, that we are still keeping the 6.5% and 9.5% guidance for the full-year despite the fact that we were ahead of it after three quarters. So we saw this coming. It was not a surprise and we have built all this into our assumption for 2023 as well when we are giving this 7% to 10% assumption for the full-year.
David Mulholland: Thank you, Aleks. We'll take our next question from Frank Maao from DNB. Frank, please go ahead.
Frank Maao: Yes. Hello and thanks for taking the question. On the thorough business update earlier, so a couple of my questions have been answered. Let me see here. Yes, I think a key question for me is really on the margin side. I mean, do you see any – do you expect to be able to offset the inflation pressures that we're seeing, especially on the salary side short-term now and going into the medium term? Or do you need to – with just ordinary measures? Or do you need to potentially take new measures to sustain the kind of cost efficiency and productivity momentum that you had? Thank you.
Marco Wiren: Yes. Thank you. We – first of all, we believe that to be able to mitigate inflation, and there's several different parts of that, cost productivity and cost – and on products improvements there. We are working continuously on those. And in this new operational model that we have, so it is very important that, as we said, that responsibility lies in different businesses as different businesses and their end markets are developing quite differently in different times that each business have to look into their end market development and what actions and measures they are taking to secure that they can continuously create value and perform in a better way.
Pekka Lundmark: Precisely, Marco, and then maybe to add one additional point is that, of course, when we talk about things like inflation – inflation, we have taken that into account in our guidance, when we estimated that this year's margin would be between 11.5% and 14%. Of course, it includes all our inflation assumptions as we see them.
David Mulholland: Thank you, Frank. We'll take the next question from Simon Leopold from Raymond James. Simon, please go ahead.
Simon Leopold: Thanks for taking the question. Just first, I wanted to get a quick clarification on your outlook for technology, given the one-off elements in the fourth quarter. I think when you talk about stable, should we be assuming that full-year technology revenue in 2023 is similar to full-year revenue in 2022? And let me just pivot to the question because that's easing it up. There have been some indications that the U.S. operators have been absorbing some inventory of network equipment, and I think that was pretty evident in the fourth quarter. I want to get a sense of what's your view of this situation, particularly the duration of any kind of potential pause in their purchases as they burn down inventory and what products might be affected by that in your business? Thank you.
Marco Wiren: Yes, I can start with the technology part. And in our guidance, as we said, that's largely stable, of course, there might be small variations, as I said, also in the longer-term as we guide larger stabling technologies. But this is our guidance what we see today. And in our guidance as well for the full-year for the whole company, we have assumed that we will also settle those two outstanding litigations that we have right now.
Pekka Lundmark: Then when it comes to the U.S. market and the inventory question, we, of course, saw a couple of years of heavy investment in North America. So after this, yes, it is natural to expect some level of digestion in 2023. And it could also include some inventory digestion. But this is actually also built in our assumptions for 2023 when we said that the first half of the year would potentially be weaker in Mobile Networks than the second half. It's also important to consider that our relative position in the region in North America with the major service providers is not only with major service providers, we have larger base there. We are working with Tier 2 and Tier 3 operators. We are working with enterprise customers, and we have the large network infrastructure business, which in this situation may be a bit less vulnerable. We also need to remember that when you look at the three large carriers in the U.S., their CapEx announcements that they have made, it's not that different from what they said two, three years ago. They increased investments in 2022. There may be a slight change in the plans for 2023 as they have now announced, but the big picture is still very much the same as it was. And we have to remember that the need for new capacity will continue also in North America. So after the dip, there will be a need for new investments again. So that's why we are not expecting anything dramatic to happen in that market. But as we have said, in Mobile Networks, there will be a regional mix shift where, in relative terms, North America will be slightly lower and India will be the fast growth market. And that is then also going to be reflected in margins though so that we expect to be able to compensate that mix change with scale benefits, with normalizing supply chain and very importantly, technology development that is driving down the cost of the product.
David Mulholland: Thank you, Simon. And just a reminder, if you could please stick to one question, please. We'll take our next question from Sami Sarkamies from Danske Bank. Sami, please go ahead.
Sami Sarkamies: Hi. Thanks for the presentation. I want to dig deeper into your Enterprise aspirations. You mentioned a double-digit share as an interim target, but what could be the level in the long run? Are you planning to make acquisitions in order to strengthen your offering in this area, and can you please provide guidance on how long growth investments will go to margins? And what could be the level in the long run relative to CSP margins? Thanks.
Pekka Lundmark: Well, the margin question, Enterprise versus CSPs, we are not opening up at this stage. We are reporting the numbers in our businesses because Enterprise is not a full P&L as such. It is a customer segment, which has its own sales teams, but it's not a full P&L. In terms of the ambition level, it is very clear, we want to continue double-digit growth. The market looks promising in terms of being able to support that. We have now increased to 8%, then we want to go to double-digit. And once we are there, then it's the time to discuss the next steps. But of course, we want that to continue. We do not want it to stop at 10%. So after 10% comes 15% and then comes 20%, but how long that will take, I'm not going to speculate on right now. In terms of priorities, the number one priority is organic development. Then if that is not enough, then bolt-on type of acquisitions would be the second priority. That's really what we are focusing on in terms of this business.
David Mulholland: Thank you, Sami. We'll take our next question from Daniel Djurberg from Handelsbanken. Daniel, please go ahead.
Daniel Djurberg: Thank you very much, Pekka and Marco, and thanks for the business deep dive. A question on gross profit. It was down 1% in Mobile Networks in Q4, still up 13% year-over-year for the full-year. And obviously, we see large changes in the mix in 2023. And you do expect some 5% growth at constant currency for the Mobile Networks side. But my question is really with regards to – what do you see as triggers for gross profit for Mobile Networks in 2023? And also if you can comment on 2024, 2025 time frame, when we see even lower growth for the Radio Access Network market, should we pencil in a decline in gross profit? Or can you work with other issues, so you can get the gross margin and gross profit growing again? Thanks.
Pekka Lundmark: Well, we are, of course, not giving specific guidance on gross profit, but it is clear that the regional mix development will put a pressure on Mobile Networks gross margin in 2023. But as I said, we do expect that we will be able to mitigate that drop with scale benefits, technology development and normalizing supply chain. So the drop will not be that dramatic as if we only took the different – the price differences between different regions. So there are mitigations that we can use. And we have taken all this into account when we have then put together this 7% to 10% operating margins. So once again, gross margin, we are not guiding. We do expect that Mobile Networks will be the fastest-growing one of our four businesses this year. So that obviously is a supporting element to the gross profit that you asked, lower gross margin is then taking some of that away. But the overall result is that we expect 7% to 10% comparable operating margin. Then when it comes to 2024 and 2025, we are not commenting at this stage other than confirming that our aspiration in the Mobile Networks business is to get to double-digit profitability.
Marco Wiren: And then just building over what Pekka said that also in the aspiration slide that we showed earlier, we have an aspiration to gain market share in the longer run. So even if markets are going up and down, so the market share gain is definitely in our aspirations.
David Mulholland: Thank you, Daniel. We'll take our next question from Richard Kramer from Arete Research. Richard, please go ahead.
Richard Kramer: Thanks folks. If limited to one question, I wanted to ask Pekka. One of the challenges in the last few years has been visibility both on component supply and also in customer demand. I'm wondering if you can talk a little bit about how – whether your raised margin targets in NI and MN are a function of having a clear picture or visibility of customer demand? And can you comment a little bit on your book-to-bill ratio ending 2022 and what you expect in terms of development? I think you mentioned a bit about seasonality, but do you now have a good view of what you expect for the full-year of 2023 with operator spend? Thanks.
Pekka Lundmark: Okay. Thanks. That's a great question. We actually start this year in relative terms with a stronger order book than what we started last year when you compare the order book to the stated target. So that gives us confidence on this year's outlook. We had a good book-to-bill in our businesses in 2022, which then helped to build this order backlog for 2023. Now what will help, of course, is then the fact that the supply chain has more or less normalized from availability point of view. Then of course, I do not want to get into details on pricing on semiconductors. There's a lot of negotiations going on. People try to understand where the prices will go. But availability has normalized. What has not normalized is lead times. And that is one of the reasons why we have a lot of inventory. We need to maintain a higher buffer inventory than normally because of the lead times. Will that change during the year? Hopefully, it would gradually start changing. That would then start helping on the networking capital side. When it comes to prices and cost of the supply chain, we have seen some good development on memory prices. But then when it comes to logic and analog, we have not really seen that yet. So that all remains to be seen where the markets will take us.
David Mulholland: Thank you, Richard. We'll take our next question from Peter Nielsen from ABG. Peter, please go ahead.
Peter Nielsen: Thanks very much, David. Yes, just one question. Sorry to return to Mobile Networks margins. But as you said, near-term dilution from the changing mix, but still expect a stable margin for the full-year for this year, which would suggest quite a strong finish to the year. Can I just ask, when you talk about the offsetting factors and you highlight scale benefits, is that margins in India that will ramp up significantly towards the second half of the year? Thank you.
Pekka Lundmark: Yes. I had a little bit difficulties to hear the question. But if I understood it correctly, you asked about – especially about the scale and benefits as a mitigating factor. And you mentioned India. Absolutely, India is the key driver there, but it's not the only driver. We have also other places where we have growing volumes. So overall, we are – as I said, MN, we expect it to be the fastest growing business in Nokia with a lot of additional scale benefits due to the fast growth, especially in India.
David Mulholland: Thank you, Peter. We'll take our next question from Sandeep Deshpande from JPMorgan. Sandeep, please go ahead.
Sandeep Deshpande: Yes. Hi. Thanks for letting me on. Quick question on network infrastructure. Clearly, you've seen a very good trend in the fourth quarter, and you laid out a good plan in the long term. I'm trying to understand, but historically, the optical business was loss-making and the new chips, et cetera, has turned the growth trajectory around. What, I mean, is it new customers that you're getting on board? Is it the technology that is driving it? Or is it a geopolitical trends that are driving it? I try to understand the longevity of the turnaround in the optical business, given that this has been such a difficult business to turn around over the last decade?
Pekka Lundmark: Thank you, Sandeep. That's an excellent question, and you actually highlighted the three key levers there quite correctly. It used to be a loss-making business. And when we look into the history, there was one silicon generation that we missed, which we have been recovering from. Now we are in a significantly stronger position. We have excellent feedback from customers in terms of PSC 5. I believe that, as I said, that this is a story that has similarities to mobile networks in many ways. We increased our investment substantially in 2021, 2022. Now we start to be there in terms of technology. And of course, the development does not stop. I mean there is – of course, there is more to come. But now the basic technology competitors now starts to be there. We have excellent feedback from customers. We are accelerating now in terms of the pipeline for new deals, and yes, we are also getting, in some cases, help from the geopolitical situation. It has not been as pronounced as we have seen in Mobile Networks, but gradually, these factors seem to be creeping in into the Optical Business as well.
David Mulholland: Thank you, Sandeep. We'll take our next question from Sebastien Sztabowicz from Kepler Chevreux. Sebastien, please go ahead.
Sebastien Sztabowicz: Yes. Hello, everyone and thanks for taking my question. How do you see the 5G core projects ramping up right now? Do you see any kind of acceleration in the deployment going forward? Or do you still expect some soft environment there? Thank you.
Pekka Lundmark: Sorry, can you clarify 5G project?
David Mulholland: 5G core.
Sebastien Sztabowicz: 5G core project, yes. Thank you.
Pekka Lundmark: Okay. I mean different trends in the core network business. Obviously, the 5G stand-alone is now the name of the game because you need 5G stand-alone in terms of getting the full benefits of 5G. So there is going to be a lot of investment in 5G core and operators will be implementing some critically important services like slicing which require investments in the 5G core. That is also a market that has been through a lot of changes, and there are different parts of the core, and they are a little bit different stages of development. But overall, when we talk about the core network, it is the key part of CNS. In our case, it's highly profitable, and it is something that we are investing significant amounts of money and the highlight of probably of what I talked about in the deep dive, also is really that we are not only making that core network software that we have cloud native, but we have started to offer it as a service as well, which I believe will be really interesting for Enterprise customers and for smaller operators and then gradually expanding to larger operators. So it is an interesting market. Obviously, that business is much smaller compared to the radio network part. But strategically, it is an important part of the portfolio.
David Mulholland: Thank you, Sebastien. We'll take our next question from Rob Sanders from Deutsche Bank. Rob, please go ahead.
Rob Sanders: Yes. Hi. Thanks for taking my question. I just had a question on India. It looks like it's about perhaps more than 10% of your Mobile Networks business now. I just wanted to ask about the peak because Ericsson is saying that the peak for 5G in India will be in the second half of this year. I just wanted to check if you share that view or do you think it will continue to grow from the second half into 2024? Thanks.
Pekka Lundmark: I mean the investments obviously will continue well into 2024. And then, of course, like in 4G, I mean, there will be a certain peak when operators are really, really scrambling to get coverage as fast as possible. Most likely then after that, there will be some kind of a leveling off and then it becomes a steady business where you have gradually an opportunity to improve margins, which is exactly how 4G also went. Look, without revealing what our customers have told us specifically, and it's a highly competitive situation in India right now, I'm not going to speculate when exactly the peak will be. But it is absolutely true that there is going to be a very quick ramp-up. And of course, on that level, the investments cannot continue for many years.
David Mulholland: Thank you, Rob. We'll take our last question from Artem Beletski from SEB. Artem, please go ahead.
Artem Beletski: Yes. Hi and thank you for taking my question as well. So I would like to ask about network infrastructure and basically growth outlook for this year within different subsegments. So where do you see the best momentum currently? And whether do you expect also basically four businesses to grow this year in constant currencies?
Pekka Lundmark: Yes, Artem, we do see growth opportunities in all four businesses this year. We expect the overall market to grow this year, and we see opportunities for taking market share through the levers that I discussed in the deep dive. So we continue to have a positive look on the prospects of that business.
David Mulholland: Thank you, Pekka. Thank you, Artem, and thank you, everyone, for joining us today. Apologies to those in the queue that we didn't manage to get to, but that does conclude today's call. You'll find the presentations that we used in today's event published on our website, and they should be available now. I would like to remind you that during the call today, we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may, therefore, differ materially from the results currently expected. Factors that could cause such differences can be both external as well as internal operating factors. We have identified such risks in the Risk Factors section of our Annual Report on Form 20-F, which is available on our Investor Relations website. Thank you all for joining us.